Operator: Good day, ladies and gentlemen, and welcome to the First Quarter 2018 Gartner Earnings Conference Call. My name is Jeanetta, and I will be your operator for today. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session. As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to David Cohen, GVP of Investor Relations. Please proceed.
David Cohen - Gartner, Inc.: Thank you, Jeanetta, and good morning, everyone. We appreciate your joining us today for Gartner's first quarter 2018 earnings call. With me today are Gene Hall, Chief Executive Officer; and Craig Safian, Chief Financial Officer. This call will include a discussion of first quarter 2018 financial results and our current outlook for 2018 as disclosed in today's press release. Following comments by Gene and Craig, we will open up the call for your questions. In addition to today's press release, we have provided an accompanying deck as a reference for investors and analysts. We have posted the press release and the deck to our website, investor.gartner.com. On the call, unless stated otherwise, all references to revenue and contribution margin are for combined adjusted revenue and combined adjusted contribution margin, which exclude the deferred revenue purchase accounting adjustment. All references to EBITDA are for combined adjusted EBITDA, with the adjustments as described in our earnings release. For periods prior to the CEB acquisition, these combined measures include the results of both Gartner and CEB. All revenue, contribution margins and EBITDA include the divested businesses. Reconciliations for all non-GAAP numbers we use are available in the Investor Relations section of the gartner.com website. Finally, all contract values and associated growth rates we discuss are based on 2018 foreign exchange rates. As set forth in more detail in today's earnings release, certain statements made on this call may constitute forward-looking statements. Forward-looking statements can vary materially from actual results and are subject to a number of risks and uncertainties, including those contained in the company's 2017 annual report on Form 10-K and quarterly reports on Form 10-Q, as well as in other filings with the SEC. I encourage all of you to review the risk factors listed in these documents. Now, I will turn the call over to Gartner's Chief Executive Officer, Gene Hall.
Eugene A. Hall - Gartner, Inc.: Well, thanks for joining us today. Last year and on our recent Investor Day, we laid out a plan for continuing double-digit profitable growth with Gartner's traditional business while applying the Gartner formula to accelerate the former CEB business. Today, you'll hear we are on track on both objectives, with a strong Q1 exceeding our expectations. Our revenue grew 16%; and EBITDA, 14%. EPS grew 20% compared to standalone Gartner for Q1 2017. Research is our largest and most profitable segment. Once again, our Research segment had strong performance with revenue growth of 17% and contract value growth of 12%. As we discussed on Investor Day, we now report contract value for Global Technology Sales, or GTS, which is sales to users and providers of technology, and Global Business Sales, or GBS, which includes sales to all other functions. GTS had another strong quarter. GTS contract value grew 13% with double-digit growth in every region, every size client and inversely every industry. GTS client retention increased to 83% and wallet retention to 104%, both near all-time highs. Our GTS sales head count grew 13% year-over-year, providing a foundation for continued, sustained double-digit growth. Global Business Sales, or GBS, also had a strong quarter. GBS contract value growth accelerated to 7%. GBS client retention increased more than 400 basis points to 82% and wallet retention increased more than 200 basis points to 99%. These retention improvements are remarkable in such a short time period. Our integration of CEB is largely complete. We have an integrated organizational structure, have introduced new seat-based products, and then moved to standard Gartner commercial terms. As planned, we've invested to grow GBS head count 20% year-over-year, providing a foundation for sustained, accelerating contract value growth. Our forward-looking metrics for both GTS and GBS remain strong. Our Events segment combines the outstanding value of our research with the immersive experience of live events, like in every conference we produce, the most important gathering for the executives we serve. Our Events segment had another strong quarter. Revenues grew 26% and same events revenues, on an FX-neutral basis, grew 19%. During the quarter, we held 14 destination events, with attendance growing 29% compared to Q1 last year. On a same events basis, destination event attendance grew 21% year-over-year. While Q1 is seasonally small for our Evanta events, revenue for this business accelerated to double-digit growth. And this compares to flat to declining revenue from before the CEB acquisition. The forward-looking metrics for our Events segment remain strong. The Gartner Consulting segment is an extension of Gartner Research and provides clients a deeper level of involvement through extended project-based work to help them execute on their most strategic initiatives. Our Consulting segment had a solid quarter with Q1 consulting revenues growing 5%. Our labor-based business had strong performance, growing 14%. Our contract optimization business, which also can vary between quarters, was down 35% year-over-year. Q1 Consulting bookings were strong with backlog up 17%. Previously, we discussed we'd be divesting businesses, which are not a strong strategic fit with Gartner. We divested CEB Talent Assessment in early April for about $400 million and CEB Workforce Surveys at the end of April for about $29 million. We use the proceeds to reduce our debt. Our future Gartner is the brightest ever. I recently met with many of our salespeople from around the world. I was inspired by the energy, passion, selling skills, and knowledge of our clients in our GTS and GBS sales teams. The former CEB salespeople, who are now mostly in GBS, have embraced and are rapidly implementing the Gartner formula to accelerate GBS. We provide incredible value by helping our more than 15,000 enterprise clients with their most important initiatives. The combination of Gartner and CEB allows us to address every role across the enterprise, giving us a huge unpenetrated market opportunity. We've largely completed the CEB integration. We know the right things to do to drive sustained, profitable double-digit growth, the Gartner formula. Our business economics allow us to drive strong double-digit growth in all our key metrics, including cash flow. And we have an incredibly talented team across the business. Our future has never been brighter. And with that introduction, I'll now turn over the call to Craig Safian, our Chief Financial Officer.
Craig W. Safian - Gartner, Inc.: Thank you, Gene, and good morning, everyone. We continue to see robust demand for our services across the globe. During the first quarter, we saw year-over-year acceleration in our contract value growth, along with improvements in our retention metrics and sales productivity. And as our 2018 outlook continues to demonstrate, we expect to deliver another year of double- digit revenue and EBITDA growth with strong cash flow generation. First quarter adjusted revenue was $973 million, up 16%. The weaker U.S. dollar contributed about 4 points to the growth rate. Purchase accounting adjustment for deferred revenue was down to a $10 million impact for the quarter. Also, in the first quarter, we delivered adjusted EBITDA of $161 million, up 14%, adjusted diluted earnings per share of $0.72, and free cash flow of $27 million. Research had another excellent quarter with significant year-over-year growth in revenue and improvements in contribution margin, contract value growth, retention and sales productivity. On a combined basis, Research adjusted revenue grew 17% in the first quarter, with about 3 to 4 points from foreign exchange. The adjusted gross contribution margin for research was 70%, up from last year's 69%. Total contract value was $2.9 billion at March 31, FX-neutral growth of 12% versus the prior year. New business growth was consistent with prior quarters and remains balanced among new clients, sales of additional services and upgrades to existing clients. The average spend for enterprise also continues to grow. It now stands at $191,000 for enterprise, up 5% versus the prior year on an FX-neutral basis. This continued and consistent increase in average spend reflects our ability to drive CV growth both through new and existing enterprises. As we discussed at our Investor Day, we are now going to market with two distinct sales forces, Global Technology Sales, or GTS, serves technology end users, investors, professional services firms and technology providers; Global Business Sales, or GBS, serves all the other functional areas in the enterprise outside of technology. We will be reporting the key operational metrics by contract value, retention rates and sales productivity for both GTS and GBS. I'll start with a review of Global Technology Sales for the first quarter. GTS had contract value of $2.3 billion at March 31, representing FX-neutral growth of 13%. GTS client retention was 83%, up 60 basis points versus the first quarter of 2017. Wallet retention for GTS was 104% for the quarter, up 90 basis points year-over-year. Both retention rates for GTS are close to our all-time highs. GTS new business growth, excluding the heritage CEB technology business, was about 12% in the first quarter. It's tough to compare GTS new business to Q1 2017 due to the full integration of the heritage CEB tech business and no longer selling any heritage CEB products in this space. We ended the first quarter with 12,363 GTS clients, up 7% compared to Q1 2017. About 75% of our GTS clients don't buy GBS services yet, giving us ample room to expand our client relationships across additional functional areas. Our investments to improve sales force productivity continue to pay off with an increase again this quarter. For GTS, the year-over-year net contract value increase, or NCVI, divided by the beginning of period quota-bearing head count, was $110,000 per salesperson, up 14% versus first quarter last year. Turning to Global Business Sales results for the first quarter, GBS had contract value of $613 million at March 31, representing FX-neutral growth of 7%. As you know, contract value reflects the amount of annualized contracted revenue at a point in time. It is an important forward-looking measure for Gartner. After we closed the CEB deal, we aligned their CV reporting with the heritage Gartner methodology. Our first priority was ensuring that we got the reporting 100% accurate for the periods that we own them. For transparency purposes, we also wanted to provide historical figures so that our investors could track the progress we are making. In March of this year, we went back and reviewed every transaction that occurred during 2017 from both before and after the acquisition close. As a result of that review, we identified roughly $14 million of additional contract value that belonged in the year-end 2016 number. The adjustment arose because these contracts renewed after the Gartner year-end cutoff point but with a contract start date of January 1. In our investor materials, we've adjusted the Q4 2016 CV number up by $14 million, the majority falling in GBS. The result is that 4Q 2017 growth for GBS was 6% rather than 8%. Other than that, in calculating all values at 2018 FX rates, there are no further adjustments. Perhaps, most important, there is no change to the outlook for future GBS CV growth. We are also making good progress with GBS retention metrics. GBS client retention was 82%, up more than 400 basis points from the prior year. GBS wallet retention was 99%, up more than 200 basis points versus the prior year. New business growth for GBS was 13%. We ended the first quarter with 5,697 GBS clients, up 1% versus the prior-year period. About 50% of GBS clients don't buy GTS services, creating an opportunity for us to sell our indispensable technology insight to additional enterprises. For GBS, the year-over-year net contract value increase, or NCVI, divided by the beginning period quota-bearing head count, was $61,000, up 13% versus first quarter last year. Our Research business performance in Q1 was very strong across both GTS and GBS. GTS measures all improved on a year-over-year basis, including CV growth, both retention measures, and sales productivity. The GBS business also improved significantly with similar year-over-year improvements to key operating measures and a sequential improvement in contract value growth from the fourth quarter on an adjusted basis. As always, we remain focused on continuous improvement in recruiting, training, and tools to support higher sales productivity, a key driver of our short and long-term results. In Events, adjusted revenues increased by 26% year-on-year in Q1 to $46 million, with about a 7-point benefit from foreign exchange. Events' first quarter gross contribution margin was 35%, up by 370 basis points compared to the year-ago quarter. The first quarter is a seasonally small quarter, but the results were excellent. We had three more events than last year. On a same event FX-neutral basis, revenues were up 19%, with a 21% increase in same event attendees. As Gene mentioned, the forward-looking metrics for Events remain strong. First quarter Consulting revenues increased by 5% on a reported basis and about 1% FX-neutral. Consulting gross contribution margin was 29% in the first quarter. In the labor-based business, revenues increased 14% versus Q1 of last year with about 6 points from foreign exchange, while the contract optimization business was down 35%. On the labor-based side, billable head count of 694 was up 7%, and we had 138 managing partners at the end of Q1, up about 10% versus the prior year. Backlog, the key leading indicator of future revenue growth for our Consulting business, ended the quarter at $104 million, up 17% year-on-year and 12% in FX-neutral terms. Our bookings performance remained strong, and our 2018 pipeline is encouraging. Adjusted revenue in the Talent Assessment & Other segment increased by 8% compared to the year-ago quarter to $74 million. Gross contribution margin was 63%. We divested CEB Talent Assessment on April 3 for $400 million and CEB Workforce Surveys on April 30 for $29 million. Operating results from both divestitures are included in our first quarter numbers. First quarter revenue from the divested businesses was about $54 million, with EBITDA of about $8 million. On a combined basis, SG&A increased by 20% year-over-year in the first quarter. Foreign exchange contributed about 3 points to the SG&A growth in the quarter. We are growing sales capacity and the enabling infrastructure to support our strategy of delivering sustained double-digit growth over the long-term. Our sales force continues to be our largest investment. And at the end of the first quarter, we had 3,501 quota-bearing associates across Gartner in GTS and GBS. This is an increase of 445 or 15% from a year ago. This includes 2,746 in GTS and 755 in GBS. The investments in SG&A are in line with our expectations. Adjusted EBITDA for the first quarter was $161 million, up 14%, with strong revenue growth partially offset by higher SG&A costs as just discussed. Depreciation, amortization and integration expenses were up year-over-year, driven primarily by the CEB acquisition. Interest expense in the quarter was $35 million, up from $6 million on a standalone basis in the first quarter of 2017. The higher interest expense relates to additional debt used to fund the CEB acquisition. Our adjusted tax rate, which we use for the calculation of adjusted net income, was 20.4% for the quarter. First quarter is typically a seasonally low quarter for the tax rate, primarily due to equity-related excess tax benefits. As we'll discuss in the outlook section, we still expect our adjusted tax rate to be about 26% for the full year. Adjusted EPS in Q1 was $0.72 with upside relative to our expectations from strong top line performance, the timing of some expenses and investments, as well as a lower tax rate, which is also due to timing. In Q1, operating cash flow was $3 million compared to an outflow of $30 million last year on a reported basis. Operating cash flow was affected by the CEB acquisition, which is not in the 2017 number, including acquisition integration payments, higher interest costs, and the billing delays we mentioned last quarter. The billing delays accrued as a result of transitioning heritage CEB invoicing into Gartner systems, affecting our cash flow to-date. We see no challenges or issues with the collectability of these invoices. We've made good progress in April and the first week of May and expect this to be largely caught up by the end of Q2. Our annual free cash flow guidance is unchanged with the exception of the impact of the divestitures. Q1 2018 CapEx was $18 million and Q1 cash acquisition and integration payments and other non-recurring items were approximately $42 million. This yields Q1 free cash flow of $27 million. During the first quarter of 2018, we repaid $300 million worth of debt. In April, we paid down an additional $450 million, leaving our April 30 debt balance at just under $2.6 billion. That's down more than $1.1 billion since the acquisition a little more than a year ago. Adjusting EBITDA for the divestitures, our gross leverage ratio is now about 3.8 times, and we are tracking well to our target of around 3 times, which we continue to expect to see by the end of 2018. This is factored into our interest expense guidance for 2018. Turning to guidance, we are updating our full-year guidance for the divestitures and lower interest expense as a result of utilizing the divestiture proceeds. The updated guidance removes the divested businesses starting from the closing dates and reflects the debt repayment we have made through April 30. Consistent with our historical practice, we will revisit full-year guidance later in the year. I will now summarize the guidance headlines. All the details are available in the press release and our quarterly earnings deck, both of which are available on our Investor Relations site. For 2018, we expect adjusted revenues of approximately $3.9 billion to $4.0 billion. The adjusted revenue guidance is lower by $175 million, reflecting the divestitures. For 2018, we expected adjusted EBITDA of $710 million to $760 million. The adjusted EBITDA guidance is lower by $40 million reflecting the divestitures. We continue to expect an adjusted tax rate of around 26%. That implies a higher rate for the balance of the year. We expect full-year 2018 adjusted EPS of between $3.51 and $3.91 per share. The adjusted EPS guidance is lower by $0.20, reflecting the divestitures. We expect free cash flow of $416 million to $456 million. At the midpoint, the conversion from adjusted net income is 126%. And lastly for the second quarter of 2018, we expect adjusted EPS of between $0.92 and $0.97 per share. We had a great start to the year with first quarter results coming in better than expected. We saw strength across the segments, improvements in key operating measures and we divested non-core assets. Since January 1, we have reduced our debt balance by about $750 million. The trends going into the second quarter are strong and our teams are working hard to execute the 2018 plan. As we shared with you at Investor Day, we are applying the Gartner growth formula across the combined business and are encouraged with the outlook for the rest of the year and into the future. With that, I'll turn the call back over to the operator and we'll be happy to take your questions. Operator?
Operator: Thank you. Your first question comes from the line of Tim McHugh with William Blair. Please proceed.
Tim J. McHugh - William Blair & Company, LLC: Yes. Thanks. Just want to first ask on GBS', the improvement in growth. Can you break out for us the marketing piece and supply chain pieces versus, I guess, the best of your ability kind of some of the legacy CEB pieces, how much of the improvement was driven by those different parts of the business?
Craig W. Safian - Gartner, Inc.: Good morning, Tim, and thank you. So, GBS is performing really well. The leading indicators are all good. The sales teams are ramping up and we remain really confident in the outlook we provided at Investor Day. As you know, we're now going to market separately as GTS and GBS, and that's how we manage and measure the business. To maximize the performance of the combined company, we integrated our Research teams, our products, and our sales teams. In a number of enterprise functions we serve, we had overlaps, and it's really impractical to separate out the heritage businesses, but what we can say is both the heritage CEB and heritage Gartner components of GBS, they both contributed to the sequential improvement in GBS contract value growth.
Tim J. McHugh - William Blair & Company, LLC: Okay. Thank you. And the 20% growth and I guess the sales force for GBS side, did you ramp that up? I thought you talked about after kind of ramping it up last year kind of watching the productivity of the initial cohort kind of mature and see how it progresses. So, did you – is your expectations are all around sales force and timing for that side of the business?
Eugene A. Hall - Gartner, Inc.: Yeah, Tim, it's Gene. So, it's exactly we expected. So, as we mentioned before, because the integration was going so well, we moved up our timeframe compared to before we did the acquisition, and our plan all along was to grow the sales force by about 20%. A lot of sales force growth happens January 1, and so – it actually happens in the first quarter because that's when we do a lot of promotions like from an individual contributor, salesperson to a sales manager. And also we had people in training in Q4 that actually became quota-bearing salespeople in Q1. So, we are right on our plan, and 20% is the exact growth rate that we had planned on. I'm very excited about it because, as you know, our aspiration is to have a really solid double-digit growth in GBS, and now we have the products to do it, we have the right commercial terms and we have the sales capacity. So, getting that sales capacity there really is one of the essential components and makes me very excited about our future there.
Tim J. McHugh - William Blair & Company, LLC: Okay. Great. And one last one and I'll hand it off. But just, Craig, the guidance, the $0.20, I guess, reduction, I think you had said $0.17 annually previously. So, is there a way to bridge that, I guess, in terms of the impact of the divestitures?
Craig W. Safian - Gartner, Inc.: Yes, absolutely, Tim. So, the way to think about it is the initial guidance we gave on that was $0.17 for just the Talent Assessment business, assuming a full year impact of a divestiture because we didn't know when the business would actually close. In addition, now we've removed the Workforce Survey & Analytics (sic) [Workforce Surveys & Analytics] business, which we closed also in April, and that was about, on an annualized basis, about $0.05 dilutive impact so, $0.22 in total. Q1 is the lightest profit quarter. And so, we're looking at a $0.20 impact based on Talent Assessment being out of the business as of April 1 essentially and Workforce Surveys being out as of April 30. So, in line with what we had told you originally, you have to add in the impact from Workforce Surveys divestiture.
Tim J. McHugh - William Blair & Company, LLC: Great. Thank you.
Operator: Your next question comes from the line of Jeff Meuler with Baird. Please proceed.
Jeff P. Meuler - Robert W. Baird & Co., Inc.: Yeah. Thank you. I guess, I just want to ask about the line that you included that, I think, you said consistent with our practice that you would consider revising the full year guidance later in the year. I guess, just given the magnitude of the Q1 upside, and I know we're only a quarter into the year here, but are there any offsetting factors that you're seeing that temper the enthusiasm from the Q1 upside, or I guess if you could just revisit your practice with us and if you just would not adjust Q1 guidance no matter what the magnitude of the upside would be?
Craig W. Safian - Gartner, Inc.: Good morning, Jeff, and thanks for the question. I'd say a few things about Q1 and then we can talk about our posture and philosophy as well. If you look at the Q1 results, there are timing elements, particularly the lower tax rate for the quarter, which that will normalize itself over the course of the year. We definitely had upside. We had strong performance in Q1. But as you referenced correctly, it is a small quarter. It is only the first quarter and it is a small quarter for us as well. And as we look at our forecast, we're still well within the guidance ranges we provided at the beginning of the year. And so, we saw no reason or need to update or adjust our annual outlook, save for the updates on or related to the divestitures. As we progress through the year and have more visibility into Q2, Q3, Q4, we'll continue to relook at where our forecasts are landing us, and we will adjust accordingly if we need to.
Jeff P. Meuler - Robert W. Baird & Co., Inc.: Okay. And then just given the way that your calculation works for sales productivity dividing by beginning AE, I would think there would be some small contribution from the new hires and the accelerated sales force head count growth. So, with that long preamble, on the GBS side or the CEB heritage, I guess, what are you seeing in terms of sales productivity trends? If you could break it out between how are the new hires ramping and then if you look at the established salespeople that came over with CEB or on the GBS side, are they through the period of disruption with all of the change that you pushed through over the last 12 months and started to see improvement there as well?
Eugene A. Hall - Gartner, Inc.: Hi, Jeff. It's Gene. So, the sales force in the GBS side is doing great. As you saw from Craig's numbers, their current productivity is substantially less than the GTS sales force. There's no reason it shouldn't be at the same level. And to your point, most of the disruptive changes, we've done now. So, we've reorganized. Everybody knows what their territory is, what their job is, who their boss is. We've introduce the new products. People know what their new products are. They've got those. We changed the commercial terms. That's all done. So, what it is now is just people getting in the groove and getting more experience with all of these changes. So, we've made the changes. I think they've accepted, it's exceeded my expectations. They've been gone over very, very well both with our salespeople as well as with our clients and prospects. And so, now that we've made all the changes, now it's a matter of just – if you're a salesperson and it's the first time you sold a new product, you're not as good on the first time as you are on the second, the third and the fourth. And so, what I expect to see over the coming period of time is that they will get used to these new products, new commercial terms and the new organization. And we should see productivity – we expect productivity to be at the same kind of rates we have for GTS over time.
Jeff P. Meuler - Robert W. Baird & Co., Inc.: Okay. And then just finally for me, I don't know the name of the metric, but I know you measure everything, Gene, so I'm sure you have a metric. Is there a client engagement or usage on the GBS or heritage CEB side? How are you doing in terms of getting it up?
Eugene A. Hall - Gartner, Inc.: So, you're exactly right, Jeff. The usage is really important. Our products can provide a lot of value, but if clients aren't using them, they don't actually realize that value. We know it's really important. One of the ways we've driven the great retention we have on the GTS side has been through driving increased usage of our products. We're well aware that the usage historically was lower on the GBS side, and so we have programs in place, it's part of the Gartner formula, we have programs in place, again, that we have implemented, it will take time to fully kick in, but we've implemented what we believe will drive retention to the same levels as we have in GTS, again, over time.
Jeff P. Meuler - Robert W. Baird & Co., Inc.: Okay. Thank you.
Operator: Your next question comes from the line of Manav Patnaik with Barclays. Please proceed.
Manav Patnaik - Barclays Capital, Inc.: Thank you. Good morning, gentlemen. My first question is, I guess, I understand you guys are going to market in these two different segments on the Research side. Just to try and help us, though, I mean, how should we think about the progress for the total fee be relative to your target of getting them to double-digit growth in three years that you had set out when you came in? Like, how is it looking today? And, I guess, going forward, it doesn't sound like you'll be able to give us that. So, how should we measure how that's tracking?
Eugene A. Hall - Gartner, Inc.: So, in answer your first question, we're tracking really well. The things that are going to get GBS up to the same levels of GTS are things like, do we have the right products. Yes, we have the right products. Do we have the right commercial terms? Yes, we have the right commercial terms. Have we expanded the sales force and are we hiring the right people, giving them the right training and the right tools? All those things are in place. And so, as I mentioned earlier, I think the – now it's a matter of – okay, they've got the new tools, they've got the new products, it's a matter of – there's a learning curve. And as our salespeople and their leaders go with that learning curve, you'll see great improvements in productivity, and that's what's going accelerate the growth. But the great thing is, which I'm really excited about, is all the foundational pieces are there. So, again, like I said, if you've got the right products, you've got the right service support, you've got the right tools, you've hired the right people, you've grown the sales force 20%, it's a matter of when, not if, in my opinion.
Craig W. Safian - Gartner, Inc.: Okay. And, Manav, the other thing I would add is that, as we talked about at Investor Day, of the GBS portfolio, 75% of the contract value that we put in there to constitute that portfolio, 75% related to heritage CEB contract value, roughly 25% to the heritage Gartner stuff we moved over there, and as I just mentioned, previously, both pieces contributed to our acceleration in the first quarter. And so, as GBS accelerates, and again meets the targets we laid out at Investor Day, 75% – we're not going to be able to do that without the former heritage CEB products contributing mightily to that.
Manav Patnaik - Barclays Capital, Inc.: Again, I guess, just maybe can you just help clarify then, in GTS, how much of that was the legacy CEB, and what was that growing?
Craig W. Safian - Gartner, Inc.: So, in GTS, it was really a de minimis amount compared to the overall. I think at Investor Day, it was less than $100 million, and that was following the typical CEB contract value trend prior to the acquisition, so declining, but again a very small portion of the GTS portfolio.
Manav Patnaik - Barclays Capital, Inc.: Okay. And then just on the guidance as well to clarify, I think you said you updated that for the lower interest expense as well, right? So, I'm just trying to think the $0.20 reduction in the EPS, I guess, does that factor in that you said or...
Craig W. Safian - Gartner, Inc.: Yes, Manav, it does. So, what we factored in is the all-in removal – or all-out removal of all the expenses and revenues and profits related to the Talent Assessment business and the Workforce Surveys business with the corresponding offset or lowering of interest expense as we've used those proceeds to reduce our debt balances.
Manav Patnaik - Barclays Capital, Inc.: Got it. All right. Thanks a lot, guys.
Operator: Your next question comes from the line of Toni Kaplan with Morgan Stanley. Please proceed.
Toni M. Kaplan - Morgan Stanley & Co. LLC: Hi. Good morning. You talked a couple times about the 20% increase in head count growth in the GBS business. How should we think about growth for the rest of the year in that business going forward? Are you sort of done in terms of ramping up, or is there a little bit more to go?
Eugene A. Hall - Gartner, Inc.: So, Toni, we're going to follow the same path with GBS that we always follow with GTS, which is we've increased our sales head count by 20%. For 2019, we're going to want to grow our sales head count again. And so, we'll start – in fact, we've got the recruiters in place already, and the programs will start recruiting so that a year from now, we'll grow our sales force at GBS. And we haven't finalized the number yet but just thinking double-digit rates so that we can sustain the double-digit growth in contract value over time. If we – as always, if between now and then, productivity isn't improving as we expect or there's some problem like that, we, of course, will slow down and figure out what the problem is – so we're not going to do it just blindly, but with the great productivity numbers we're seeing now and the great acceleration, the path we're on now is that we hire toward the late – think about getting people into training in Q3 and Q4 so they do a lot of territory in Q1 in GBS just like we would always do in GTS.
Toni M. Kaplan - Morgan Stanley & Co. LLC: Got it. And, Craig, just given potential for rising interest rates, would you consider hedging some of your floating rate debt just given that there is still a lot of it left?
Craig W. Safian - Gartner, Inc.: Yeah, good morning, Toni. Thanks for the question. Yeah. We've actually – if you look at our debt balances, we've got $800 million in high yield, which is fixed at 5.125%, and then we've got $1.4 billion of interest rate swaps to essentially hedge the floating portion of our revolver term loan A and term loan B. And so, as we continue to delever, we've got the vast majority of our debt instruments now essentially locked in with interest rates due to the nature of the instruments and the hedging we put in place.
Toni M. Kaplan - Morgan Stanley & Co. LLC: Okay. Excellent. Thanks. Sorry, I missed the $1.4 billion of hedges. Thank you.
Operator: Your next question comes from the line of George Tong with Goldman Sachs. Please proceed.
George Tong - Goldman Sachs & Co. LLC: Hi. Thanks. Good morning. There's a widespread in sales force productivity between your GTS and GBS segments. When do you expect NCVI per salesperson of GBS to approach GTS levels? And are there any structural barriers such as contract pricing or terms that can impact that convergence?
Eugene A. Hall - Gartner, Inc.: So, George, it's Gene. So, to answer the second part of your question first, which is we expect GTS productivity to continue to improve. So, we're not stopped there. And GBS, as you point out, is half or little less of GTS; we intend to close that gap as quickly as we can. As I said earlier in the call, we really have all the pieces in place to do that, so now it's a matter of our salespeople to be on the learning curve. There's no structural reason why GBS sales productivity shouldn't be at the same level as GTS, and that's certainly what we aspire to over time.
George Tong - Goldman Sachs & Co. LLC: Got it. That's helpful. You indicated that some of the margin performance this quarter reflected the timing of certain expenses. Can you quantify this timing and what your remaining investment priorities are for this year?
Craig W. Safian - Gartner, Inc.: Good morning, George. Yeah, I think it's less about timing. It just happens to be a lighter-revenue quarter for us, so the margin can be a little more sensitive to our investing. As I mentioned during the SG&A portion of our prepared remarks, the investment profile and investments are kind of right where we expected them to be. We'll continue to make the right investments that we think can drive and support long-term sustainable double-digit growth, but through Q1, we're pretty much on plan with where we thought we were going to be from an investment perspective.
George Tong - Goldman Sachs & Co. LLC: Got it. Thank you.
Operator: Your next question comes from the line of Hamzah Mazari with Macquarie Capital. Please proceed.
Hamzah Mazari - Macquarie Capital (USA), Inc.: Good morning. Thank you. The first question is just on cross-selling. You had thrown some statistics around on, and correct me if I'm wrong, 75% of GTS not buying from GBS, 50% of GBS not buying from GTS. Maybe if you could just frame for us, is the customer base buying these products from someone else, or is this going to be a completely new product sale for them, so that they're not buying from anybody right now, and in order to drive cross-selling, this would be essentially net new business?
Eugene A. Hall - Gartner, Inc.: So, in general, when we sell a new individual client, they are not using someone else for another syndicated research service, whether it'd be in technology, in HR, legal, finance, in whatever function. And so, it's really going in and explaining to them a product that they have never bought before and may not understand – in general, don't really understand the value, which is why our sales force is so important is because they go in, they explain the value that the clients can get from it, and we do that, they buy and they renew at high rates. And so, that's really what's going on there. It is a new sale. In terms of the cross-sell, the fact that this is a sale that most people that haven't – that are not – clients haven't used syndicated research, obviously, it's helpful if you're one client and we're selling to the head of HR an HR product, but the CIO doesn't know about syndicated research. If you have the head of HR say, hey, you should try this and do a referral, that's obviously helpful compared to just a plain cold call. And so we have – in just our existing client base, we have a huge opportunity both with GTS selling into clients that are only GBS today, and GBS selling into clients that are only GTS today. I can tell you both sales forces are incredibly excited about the prospect that now they can go into these companies or these functional areas where they may not be buying from Gartner today, but their references from some other part of Gartner that can both help, both refer individual people but also help them to understand the client context, which helps the sales productivity and close rates.
Hamzah Mazari - Macquarie Capital (USA), Inc.: That's very helpful. And then maybe just to follow up, any color you can give us what you're seeing regionally, North America, Europe? Any changes there? Anything to call out? Any trends there would be helpful.
Eugene A. Hall - Gartner, Inc.: So, I would say that every region in the world is performing kind of, what I would call, in normal terms, meaning that there are companies that have troubles, there are, in some cases, governments that have trouble, but it's kind of a normal selling environment. And again, we know how to sell whether companies are – economies are doing well or not doing well. And we just take whichever approach is needed in those. But, overall, I'd say it's what I'd characterize as a normal selling environment, not super fantastic good, not bad, but kind of normal, and that's true for everywhere around the world. There's no particular region that I would say is particularly better or worse than kind of what I call normal.
Hamzah Mazari - Macquarie Capital (USA), Inc.: Great. Thank you.
Operator: Your next question comes from the line of Bill Warmington with Wells Fargo. Please proceed.
William A. Warmington - Wells Fargo Securities LLC: Good morning, everyone. So, just a quick question on the contract optimization piece, you mentioned that was down 35%, but then you also mentioned the backlog being relatively strong. I just wanted to ask for some color there.
Eugene A. Hall - Gartner, Inc.: Yeah, Bill. So, our contract optimization business, as, if you've followed Gartner, know that it's pretty lumpy. It could be – it's done on a contingency fee basis, and it could be lumpy from quarter-to-quarter. It's a great business, provides a lot of value to clients, but it can be somewhat lumpy compared to most of the rest of our business. And so, that's kind of what's going with that. Our backlog was up 17%...
Craig W. Safian - Gartner, Inc.: 12% FX-neutral.
Eugene A. Hall - Gartner, Inc.: ...yeah, 12% FX-neutral. So, we had great bookings. Most of the backlog, the vast majority of the backlog would be in our labor-based business. It could happen a deal was in contract optimization but mostly it would be our labor-based business. And so, when you look at the backlog, it's saying – in fact, we talking about it in these results, our labor-based business had a very strong Q1, and the backlog is very strong as well, which says that the future looks pretty good too with kind of double-digit rates, which is, obviously, a big step-up from where we've been over the past few years. And contract optimization is fundamentally – has some good – higher some quarters, lower some other quarters.
Craig W. Safian - Gartner, Inc.: I'd also add, Bill, that – and I think you know this, the contract optimization revenues represent typically less than 20% of the segment revenues. So, the bulk of the business is the labor-based business. And as Gene and I both went through, we had a very good labor-based performance in Q1 both from a revenue flow-through perspective, from a bookings perspective, and that translated into the strong backlog position as well.
William A. Warmington - Wells Fargo Securities LLC: Okay. And one follow-up if I could, I wanted to ask the – to double-check the calculation, the first quarter 2018 constant currency revenue growth, if it were including – or should I say, excluding the divested businesses, just to get a sense for what kind of – what the ongoing organic revenue growth is going to be post the divestitures?
Craig W. Safian - Gartner, Inc.: Yeah. So, on a combined basis, reported revenue growth, excluding the impact of the divested businesses, would have been 17%. We saw 3 to 4 points of foreign exchange, so think in the 12%, 13% range is the combined revenue growth in Q1, excluding the divested businesses.
William A. Warmington - Wells Fargo Securities LLC: Excellent. Thank you very much.
Operator: Your next question comes from the line of Joseph Foresi with Cantor Fitzgerald. Please proceed.
Drew Kootman - Cantor Fitzgerald Securities: Good morning. This is Drew Kootman on for Joe. You mentioned the integration for CEB is mostly complete. Could you remind us where some of the top line synergies are coming from and where you expect them to come from moving forward?
Craig W. Safian - Gartner, Inc.: Good morning. In terms of the way we're thinking about the integration and the way we built the business case, it was really about reigniting the growth of the heritage CEB contract value, now, mostly GBS. And the way we were going to do that was by, again, as we went through it at Investor Day, really leveraging the Gartner formula that we know works to grow that type of business, but that's improving the engagement, as Gene talked about earlier, which translates into higher retention rates, which we are seeing, that is increasing sales capacity which we are doing, that is focusing and improving the sales productivity of the GBS sales force, which we are seeing as well. Again, we still have a lot of room to go between the GBS productivity and the GTS productivity, but we're certainly on the right track there. And then, also eliminating or standardizing around what we know to be best practices around contracting terms and things of that nature. And so, we've implemented just about all of those things. We are seeing improved retention rates. We are seeing improved productivity. And we have increased the capacity of the sales force pretty significantly. And that's what, we believe, will be the driver to getting the GBS contract value to grow similar to what we've historically seen for the GTS business.
Drew Kootman - Cantor Fitzgerald Securities: Okay. And can you go through some of the factors driving the better performance in Events in the last few periods?
Eugene A. Hall - Gartner, Inc.: Yeah. So, Events has been doing great. And there's two pieces of our Events business. One is attendees and the second is our exhibitor sales. Both have been growing at great double-digit rates. On the attendees side, it's really about having the right content and doing great marketing to the events. And so, again, we've got great content from our Research organization. We've got a terrific marketing organization, which has done a really good job of getting that out to our potential attendees, and that's working really well. On the exhibitors' side, as we mentioned, last year we had some problems with open sales territories and we have discovered you sell less in a territory with no salesperson than you do with a salesperson. We've solved that problem now. We have full sales territories and so that's why you're seeing our exhibitor sales back on the track that they – most of the time that's been where Events has been, in a very good spot, good double-digit exhibitor growth. Sales territories are filled. Our sales productivity there is very good. And so both sides of the business are performing as they have generally done in the past.
Craig W. Safian - Gartner, Inc.: And I would just add one other point, which is – and Gene referenced this in his prepared remarks around the acquired Evanta business, which upon acquisition was not in the best shape and we've really focused on making sure we fortified that business and got it back on a good growth trajectory. Q1 was a small quarter but very positive, and that is now contributing to growth as well.
Drew Kootman - Cantor Fitzgerald Securities: Perfect. Thank you.
Operator: Your next question comes from the line of Jeff Silber with BMO Capital Markets. Please proceed.
Jeffrey Marc Silber - BMO Capital Markets (United States): Thank you so much. Just wanted to go back to your plans for adding to head count in GBS, I'm just curious, are the type of people that you're looking for adding there different from the type of people that you're recruiting at GTS? And if not, how do you steer them to one division as opposed to the other?
Eugene A. Hall - Gartner, Inc.: So, Jeff, it's two things. One is we have sales forces that sells to smaller companies, mid-size companies and larger companies and there's different kind of expectations. So, someone who comes in and joins us for our sales force is selling to what we call mid to small-sized enterprises, generally, we don't have a specific background in mind in terms of function. We bring them in and they might have an interest in a particular area, if not, we kind of channel them to the place where we have the most need. As you get to larger companies, so if you're selling to the CIO of a Fortune 50 company, they expect the salesperson that's calling on them to have some knowledge about the functional area. It's same for the head of HR, same for the general counsel. And so with our more senior sales force, it would be more likely we want to hire somebody that has some expertise in the functional area in which they've been selling.
Jeffrey Marc Silber - BMO Capital Markets (United States): Okay. That's helpful. And then shifting gears going forward when you report your historical data, are you going to be excluding the businesses that you've divested or are we going to be comping against, I guess, what that combined company looked like last year?
Craig W. Safian - Gartner, Inc.: So, we're not going to go back and restate prior year. We will attempt to provide enough clarity so that everyone can pull out the appropriate results from the divested businesses. I'm glad you asked, Jeff, to give you a sense, in 2017, these two businesses contributed $223 million worth of revenue and about $47 million of EBITDA. The way to roughly think about it is those were spread roughly evenly over the four quarters. And so, that should help in removing those businesses from what would look like ongoing results for 2017. For 2018 in the first quarter, the divested businesses contributed $54 million in revenue and $8 million in EBITDA. And, again, as you saw, we pulled out from the balance of the year outlook $175 million in revenue and $40 million in EBITDA. So, I apologize, I just threw lots of numbers at all of you, but those are the facts related to the divested businesses.
Jeffrey Marc Silber - BMO Capital Markets (United States): Okay. Appreciate the color. Thanks so much.
Operator: Your next question comes from Peter Appert with Piper Jaffray. Please proceed.
Peter P. Appert - Piper Jaffray & Co.: Thank you. Craig, I think you mentioned in your comments a little bit about the pricing at CEB, but can you remind us where you are in the process of moving to the seat-based pricing model? And at this point, are you seeing any year-to-year increases or what are you doing in terms of pricing year-to-year at CEB?
Craig W. Safian - Gartner, Inc.: Good morning, Peter. Thanks. Yeah. I think the way we're approaching it is twofold. So, one is we've eliminated discounting. So, our salespeople no longer sell on price, they are actually selling on value. So, that's one element of the pricing conversation. The other element is in most of the functional areas that we sell to, we've converted from the previous Leadership Council model, which was an enterprise price model to a seat-based model. And the seat-based pricing is very consistent with the way we've historically priced our seat-based products on the heritage Gartner side or now GTS side. So, again, we're going at pricing in two ways: one, eliminating the discounting; and, two, converting people over to seat-based pricing that looks a lot like the way Gartner has always priced their seat-based products.
Peter P. Appert - Piper Jaffray & Co.: So, Craig, eliminating the discounting, I would think, would translate into a fairly significant year-to-year effect to price increase, is that correct?
Craig W. Safian - Gartner, Inc.: So, Peter, the one nuance there is that when we say eliminate discounting – I'm sorry, I should have been clearer on this, that is on new sales. So, if there is a client who has a discounted Leadership Council, we are not forcing them to migrate to a different product, and we are not forcing them to significantly uplift our price. We have found in our experience that clients don't like when we do that to them, and so if they are happy with what they have, with the pricing they have, we are happy to renew them with a roughly 3% increase and continue to take their money year after year, and again and provide value to them. So, the non-discounting comment really refers to new business sales.
Peter P. Appert - Piper Jaffray & Co.: Got it. Understood. Thank you. And then, Craig, one other thing, on the SG&A cost, can you give us any more granularity in terms of the composition of costs, and what you're seeing in different components of SG&A costs?
Craig W. Safian - Gartner, Inc.: Sure. Happy to. I think the year-over-year compare is really messy because of when the combination took place. If you look at it sequentially, we're up about $20 million in SG&A costs from Q4 2017 to Q1 2018 in FX-neutral terms. The bulk of that increase relates to the more selling capacity, particularly the significant jolt, as we've talked about, that we've put into the GBS sales force with that 20% net head count growth.
Peter P. Appert - Piper Jaffray & Co.: Okay. Great. Thank you.
Operator: This now concludes the Q&A portion for today's call. I would now like to turn the call back over to Gene Hall for any closing remarks.
Eugene A. Hall - Gartner, Inc.: Yeah. So, summarizing, we had a very strong Q1, and our future at Gartner is the brightest ever. We provide incredible value by helping our more than 15,000 enterprise clients with their most important initiatives. The combination of Gartner and CEB allows us to address every role across the enterprise, which gives us a huge unpenetrated market opportunity. We've largely completed the CEB integration. We know the right things to do to drive sustained, profitable double-digit growth, which we call the Gartner formula. Our business economics allow us to drive strong double-digit growth in all our key metrics, including cash flow, and we have an incredibly talented team across the business. I want to thank you for joining us today, and I look forward to updating you again next quarter.
Operator: Ladies and gentlemen, that concludes today's conference. Thank you for your participation. You may now disconnect. Have a great day.